Operator: Ladies and gentlemen, welcome to Teck's Second Quarter 2011 Results Conference Call. [Operator Instructions] This conference call is being recorded on Friday, July 29, 2011. I would now like to turn the conference call over to Greg Waller, Vice President, Investor Relations and Strategic Analysis. Please go ahead.
Gregory Waller: Good morning, everyone, and thanks for joining us this morning for our second quarter earnings conference call. Before we start, I'd like to draw your attention to the forward-looking information slides on Pages 2 and 3 of our presentation package. This presentation contains forward-looking information regarding our business. Various risks and uncertainties may cause actual results to vary. Teck does not assume the obligation to update any forward-looking statement. At this point, I'd like to turn the call over to Don Lindsay.
Donald Lindsay: Thanks, Greg, and good morning, everyone. I'll start this morning with a review of the results for the quarter, and then I'll turn the presentation over to Ron Millos, our Senior Vice President, Finance and CFO, to address some more in-depth financial topics. We do have a number of other members of the management team on the call this morning and they, too, are available to answer your questions. So turning to Slide 5. This quarter was a record quarter for revenues, for gross profit and EBITDA on a normalized or clean basis, despite having to adjust our guidance for coal down later in the quarter. The very strong quarter is a reflection of the strong fundamentals of our business, particularly the higher prices for both coal and copper. And I would note that the second quarter for Teck is traditionally a weaker quarter for us because of the seasonality related to Red Dog. Underscoring our strong financial position is our $3.4 billion cash balance, and that is after having already paid $177 million in dividends this quarter. Since quarter end, we issued $2 billion in aggregate amount of notes, term notes. We expect to use the proceeds for general corporate purposes, including anticipated capital spending and debt repayment. Our net debt position is also about $3.4 billion, but it hasn't changed materially with our increased cash balance. And finally, in coal, the benchmark contract price for premium hard coking coal for the third quarter has been settled at USD $315 per metric ton. Our average price will, of course, depend on the volume of each product that we sell. Turning to Slide 6. As already mentioned, Q2's record revenues stood at almost $2.8 billion, up over 27% from Q2 2010. And gross profit before depreciation and amortization was over $1.4 billion, which was up 31% over the second quarter of 2010 with expanding margins. Second quarter profit was $756 million and EBITDA was just over $1.4 billion. I would like to remind everyone that our profit is reported now under IFRS, and if you've not already done so, we urge you to go through the notes, to the financials to become more familiar with some of the changes. On Slide 7, it shows our adjusted profit for the quarter, which removes unusual items in comparison to last year. Adjusted profit of $663 million, or $1.12 per share on a fully diluted basis, is almost double the adjusted profit per share last year. We show our view of normalized or adjusted profit for the quarter on Slide 8. This quarter had 2 significant adjustments. The largest was the sale of our interest in the Carrapateena project, which had an after-tax impact of $99 million. The second is a one-time after-tax charge of $26 million related to the new 5-year labor agreement in our coal operations. And as usual, we had some modest adjustments related to the foreign exchange derivative losses. Adjusting for these items, profit was $663 million for the quarter or $1.12 per share. Turning to our operating results for the quarter on Slide 9. In our Coal business, production and sales were down year-over-year. Our production for the quarter was 5.8 million tonnes and sales came in around 5.6 million tonnes. The average realized price for the second quarter was USD $272 per tonne, relative to benchmark prices of $330 for the premium quality of coal. The wider spread between realized price and the benchmark price was primarily due to the significant increase in the benchmark price this quarter and the carryover of sales of some coal and prices from the previous quarter, which were substantially lower. Also, the deferrals from customers impacted by the March earthquake and tsunami in Japan resulted in the realized price being somewhat lower than previously expected. Some of those cargoes have been pushed into the third quarter, and they will be still priced at the Q2 levels. Second quarter 2011 unit site costs were $73 per tonne, not including the one-time costs related to the settlement of labor contracts. The one-time costs related to those labor contracts, I know that's amounting to above $40 million or approximately $7 per tonne. A number of factors contributed to higher site costs: first, the increase in strip ratio; external mining contractor costs; and diesel, of course, all contributed to higher unit costs during the quarter. It's important to note that some of these are deliberate decisions that we make to maximize production given the high coal price. We know that these decisions will increase costs, but it is the right economic decision for our shareholders. Adding in the transportation costs of $33 per tonne gave us combined costs of CAD $106 per tonne for the quarter. We recognize that our site costs have increased significantly over the past 3 years. Slide 10 underlines the increase in strip ratio and how the change has impacted costs. Although the strip ratio has been trending higher, we do expect it to decline and then stabilize in the near future. The bars on the chart show the amount of total material, that is coal and waste material, that we've moved quarterly over the past 3 years or so and our forecast for the end of 2012 as well. During the second quarter, we moved a record amount of material, and this is a direct result of more equipment and, specifically, having larger-haul trucks. Speaking of which, we now have increased our truck deliveries by 5 more to 42 new trucks by the end of 2012. And of the 42, 22 new trucks have already been delivered. Of our increase in costs over the past 3 years, about 35% is due to the strip ratio. The logic underlying our expansion is really quite straightforward. In order to produce more coal, we have to move more waste to expose the coal and prepare to move to the wash plants. More coal means more waste stripped to enhance that coal production, hence, we need more trucks. This is the right economic decision for our shareholders, given the tightness of the hard coking coal market currently and what we expect in the future and the associated higher prices with that tight market. In our Copper business, on Slide 11. Overall, production was up almost 4% versus Q2 last year, with concentrate up and cathode production down, mostly due to the transition in Andacollo from cathode production to concentrate production. And while we would have liked to have had more, at least it was up. Most other companies have seen copper production down. Production of copper concentrate was up over 17%, mainly due to Carmen de Andacollo and, to a lesser extent, Highland Valley Copper. The increase in production was slightly offset by lower production from Antamina, primarily due to lower than average ore grade. Conversely, capital production was down 6,000 tonnes or about 25%. The decline is mainly attributable to the unusual heavy rainfall experienced at QB during the first quarter. Due to the lag times involved in the leaching operation, this had an impact in Q2 as well. Higher revenue on weaker sales volume was the result of substantially higher copper prices. Copper prices averaged $4.14 per pound in the second quarter of 2011 compared with $3.18 per pound in the same period a year ago. Turning to Slide 12. I would like to provide an update regarding the Andacollo concentrator. As discussed in earlier quarters, we've encountered harder ore at Carmen de Andacollo sooner than anticipated. And as a result, there's a need for additional grinding capacity. Consequently, we have plans underway to increase plant throughput to meet or exceed the original design plan. The 3 main steps to achieve this include: adding a small crusher to feed the pebble crusher, and that will be done by the end of August next month; secondly, to increase the SAG motor capacity by about 10% by the end of the third quarter this year; and thirdly, to install a 20,000-tonne per day pre-crusher plant by the end of the first quarter next year. This improvement plan is already in progress. It is estimated to cost about USD $15 million. And as I mentioned, these plans are intended to increase plant throughput to meet or exceed the original design plan. Finally, in addition to these improvements, we expect the feasibility study examining the expansion to up to 100,000 to 120,000 tonnes per day, and that feasibility study would be due in the fourth quarter this year. Slide 13 describes the challenges that we've had in our Quebrada Blanca mine in Northern Chile and our responses to deal with those challenges. Heavy rain in January and early February and the reduction in higher grade heap leach due to instability of the south wall of the pit continued to have an impact on production in the second quarter. The combined impact of these factors over Q1 and Q2 has been approximately 5,000 tonnes and 3,000 tonnes, respectively. More recently, unusual winter weather earlier this month brought more disruption. However, compared to last time, the impact is temporary and disruptions have been minimal. We are doing a number of things to address these challenges. We have stabilized the south wall of the pit by removing material weight and by taking a step out of about 70 meters, which leaves somewhere behind for later recovery during QB Phase 2. We are now mining below the field area and will reach the ore zone in early 2012. Quebrada Blanca is now transitioning from a higher-grade heap leach operation to a lower-grade dump leach operation. We're also experimenting with treating ripios, which is ore that has been leached already, but its tail has copper in it to leach. Testing has shown that releaching of ripios can result in additional copper recovery. We will releach some ripios in 2011 and plan to include significant ripios in 2012. We expect to produce around 850 tonnes this year and as much as several thousand tonnes in 2012. As well, modifications to the SX plants are being carried out to deal with the lower concentration leach solutions that come off to dump leach ore. Slide 14 shows the current status of the expansion to the Antamina concentrator. The project stands at 63% complete. The forecast cost remains stable at USD $1.3 billion. In addition to the new SAG mill and ball mill, the new copper and zinc flotation cells are now already in place. And the target for operational readiness for the new facility is late Q4 this year, with throughput and production benefits expected in Q1 of 2012. Turning to Slide 15, as you've heard from our partner in the Galore Creek project yesterday, NovaGold had a very comprehensive release and discussion of the projects, so I won't go into a lot of detail. This is a very large copper/coal resource, potentially a very large producer. The project plan has been simplified from that originally envisioned to enhance the project and reduce risks. There are a number of things to be evaluated in the enhanced plan, which will be completed by the end of the year, and that will form the basis of the project description for a feasibility study and to initiate the permitting process. Turning to our Zinc business on Slide 16. Zinc concentrate production for the quarter was approximately the same compared to last year. At Red Dog, higher mill throughput resulted in a 3.7% increase in production. In Antamina, production declined, due principally to a lower proportion of copper/zinc ore. As in previous quarters, I should note that even though we show Antamina's share of zinc production in these figures, the financial results of Antamina are reported in our Copper business. Lead concentrate production was 29% lower than the first quarter last year, due to lower feed grade and recovery, impacted by a near-surface, weathered ore from the Aqqaluk pit and Red Dog. This issue should sort itself out as we get deeper into the ore body. And consistent with last quarter, we had no sales of lead concentrate from Red Dog as we sold out in the last half of the previous year. At Trail, production of refined zinc was marginally higher than the same period last year due to improved online time and higher plant throughput. Overall, our Zinc business contributed $156 million in cash gross profit this quarter. In our Energy business, we continued to make progress across all our projects. At Fort Hills, engineering studies in both design and costs are ongoing. The timeline continues to anticipate a project sanctioned decision by the partners in late 2012 or early 2013. At Frontier and Equinox, we have recently completed a capital cost estimate and a Design Basis Memorandum, which is the basis for regulatory application, which we expect to file in the second half of this year. And that will kick off the permitting process. The first 2 production trains are expected to have a production capacity of 159,000 barrels per day of bitumen and should cost approximately CAD $14.5 billion, with an expected accuracy of minus 10% to plus 30%. The Frontier Project has been designed for up to 4 production trains, and that's including Equinox as a satellite operation, with a total capacity of 277,000 barrels per day of bitumen, costing an estimated CAD $22.9 billion. At Lease 421, we completed a seismic program, which will assist in citing future drill holes. And beyond that, exploration is ongoing, and we hope to be able to clear an initial contingent resource in the 2012 to 2013 time frame. And in our Wintering Hills wind power project with Suncor, the project is proceeding on schedule, and it's expected to be complete by year end. And I will now turn the call over to Ron Millos to address some financial issues.
Ronald Millos: Thanks, Don. I'm on to Slide 19, where we summarize changes in cash for the quarter. Cash flow from operations was approximately $1.2 billion in the second quarter, which is up 48% from the same period last year. Our working capital investment was unusually large in this quarter, although we typically see net investment and working capital in the first half of the year, and I'll come back to this on the next slide. Capital spending and investments were $325 million for the quarter, including $104 million on sustaining capital and $168 million on major development projects. Our major development projects include $26 million for stripping on Highland Valley Copper's mine life extension project, $26 million for Antamina's expansion, $18 million on QB's hypogene project and $68 million at Teck Coal. After allowing for a minority partner share of cash and the effect of exchange rate changes, our cash increase in the quarter was $268 million, and we ended the quarter with just over $1.3 billion in cash. As Don noted earlier, with our bond issue earlier this month, our cash balance currently sits at about $3.4 billion. Moving to Slide 20, I'd like to touch on our large working capital change. The largest single item relates to the factoring of our receivables, which we do to efficiently manage our cash balances. We did not do any factoring at the end of June, and this resulted in a $150 million increase in our receivables. In addition to the factoring, our receivables are also higher, due mainly to the high commodity prices, especially coal, and the timing of when the sales actually occur, which drives the timing of the payment from our customers. We have higher inventories, the largest of which relates to the cost of Trail's raw material purchases due to higher commodity prices, particularly precious metals. We also had higher inventory volumes at a number of sites due to the timing of raw material purchases and the timing of the sales of our finished goods. We expect these to reverse in the normal course. In addition, as you heard earlier in the presentation, some of our operating costs have risen, and these higher costs flow through our in-process and finished-goods inventories. The working capital increase also factors in an approximate $150 million reduction in payables, arising from timing of tax and royalty payments in the first half of the year. Some of the working capital buildup is temporary, such as the higher inventories due to volumes and the timing of payments. Others related to higher commodity prices may last longer as a further buildup or drawdown are somewhat dependent on the movement in these future prices. Slide 21 shows our final pricing adjustments for the quarter. And again, starting in 2011, our pricing adjustments are now included in nonoperating income expense. These pricing adjustments were previously included in our revenue or concentrate purchases as appropriate. This is a presentation change only. There has been no change to the methodology and how we calculate the pricing adjustments, and our adjustments from previous periods have been reclassified for comparative purposes. Total adjustments for the second quarter were positive $6 million on a pretax basis. Copper and zinc both had small negative settlement adjustments this quarter due to the small reduction in price. Silver works in the opposite direction as this represents settlements outstanding on the purchase of silver and concentrate at our Trail operation. On average, we had about 3 million ounces of silver payables outstanding at the beginning of the quarter. And with the price declining, we recorded a positive $15 million adjustment. And remember, when analyzing the effect of price changes in the adjustment, refining and treatment charges and the Canadian and U.S. exchange rate must be included in your calculations. And when trying to analyze the impact on our net earnings, you need to consider taxes and royalties. Slide 21, there's 2 charts there. The top chart illustrates our updated debt maturity profile, while the chart on the bottom features our recent notes offering. Our debt maturity profile remains very manageable, with only USD $200 million due in September 2012 and about USD $1 billion due between now and 2015. Earlier this month, on July 5, we issued $2 billion in aggregate amount of 5-, 10- and 30-year notes, with about $1 billion maturing in 2017 and 2022 and $1 billion maturing in 2041. We expect to use the proceeds for general corporate purposes, which may include our capital spending for project development and/or debt repayment. We were able to place this bond issue at historically very low rates. The chart at the bottom of the slide highlights that we executed this debt issue at an average funding yield, which is in the fourth percentile of where rates have been over the last 20 years. In our view, this represents a very good time to secure long-term, low-cost money to help fund our expected investment program. With that, I'll now turn the call back to Don Lindsay.
Donald Lindsay: Thanks, Ron. Before we close, I would like to update you on the status of our many development projects that we have underway on Slide 23. In Coal, the feasibility study for the restart of the Quintette coal mine is proceeding, as we expect it to be complete by the end of this quarter. Assuming the results of the study are positive and development proceeds, the mine could be in production by 2013 at an annual rate of approximately 3 million tonnes per year. At Relincho, the pre-feasibility study is underway, and it's also expected to be completed in the third quarter of this year. In Andacollo, our feasibility study for the possible expansion is in progress, as I mentioned earlier, and it's expected to be completed in the fourth quarter this year. At Quebrada Blanca, a full feasibility study commenced in early 2011, and it's expected to be completed by the end of the first quarter of 2012. A positive feasibility study could potentially result in a decision to undertake project development with production in early 2016. Continuing in Copper, the Galore Creek pre-feasibility has been completed, and more work is being planned for the end of this year before a decision is made to move to full feasibility. In our Energy division, we are working on the pre-feasibility study for the Frontier oil sands project, with the possibly of Equinox as a satellite mine. This study is expected to be complete in Q4 of this year, which will also be marked by the filing of our regulatory application. So we have lots of exciting growth opportunities coming. I look forward to reporting on the development status of these projects in the future. So in summary, the record results this quarter demonstrate the strength of our overall business, and we expect further improvement as the year unfolds. We're very well positioned to pursue our strong growth potential. We have a strong balance sheet and are focused on the strong and increasing cash flow from our business. Our coal business is very exciting, with robust fundamentals and market prices, and we are increasing production for a very nominal amount of capital relative to others. Our copper production will grow over next year with the completion of the expansion in Antamina. And we are moving forward with several development projects to further enhance shareholder value. So as you've seen, we have a number of other growth projects on the agenda as well. And with that I'd like to turn it over to questions. So over to you, John.
Operator: [Operator Instructions] The first question is from Meredith Bandy of BMO Capital Markets.
Meredith Bandy - BMO Capital Markets Canada: I was wondering if you would feel comfortable looking ahead to next year. You're still talking about maybe 32 or above met coal production in 2013. What sort of production would you think about for next year?
Donald Lindsay: Well at this stage, we haven't put out guidance for next year. I think we want to wait until we see the plant upgrades complete and working well and all of the equipment, the rest of the trucks, delivered before we take a look at what production we can achieve in 2012. But we're quite confident that by 2013, all of the equipment will be in place and the plant is running smoothly. And the targets that we brought out there for the Elk Valley, 28 million coming out of there, and another 3 million on average per year from Quintette would take us over to 30 million. So I'd say wait until, let's see, somewhere into the fourth quarter when the plant upgrades are further along before we could give a clear answer on that question.
Meredith Bandy - BMO Capital Markets Canada: Okay. And then on the costs side, you did give a lot of detail, and thank you very much, in the release about the increase and what's responsible for the increase. How much of that could go away? Like it sounds like the strip ratios are coming down. I'm not sure about the inventory impact. How much improvement could you get in the next few quarters or going into next year?
Donald Lindsay: I'll turn that one over to Ian Kilgour.
Ian Kilgour: We expect to be able to bring our unit costs down in the second half of this year as we increase production. And we expect to be running around $65 contract cuts by the end of the year, and that we expect it to continue in 2012.
Operator: The next question is from Jorge Beristain of Deutsche Bank.
Jorge Beristain - Deutsche Bank AG: Just following up on that, maybe looking into the second half for coal. You are intoning that guidance could come in at the slight low end of your sort of 23.5 to 24.5 million range, and that it seems to be more fourth quarter weighted in terms of coal sales volume. Could you talk to why you're still seeing a sort of slightly weak third quarter? And if there is on the costs decreases that you're expecting, is that really going to be something more seen at exiting the fourth quarter run rate at $65 per tonne? Or is that sort of immediate once we get rid of the $7 per tonne that you saw for the labor settlement?
Donald Lindsay: Maybe I'll make an initial comment and then turn it over to Ian Kilgour again. We don't see the third quarter as slightly weak. It's ramping up. And so the first quarter was a miserable quarter because of all the weather-related issues and the strike and so on. We've seen a significant improvement in the second quarter. The third quarter will continue that improvement. And of course we're getting more trucks and continuing to get closer to when the plant upgrades are finished, and we've increased capacity there. So I view that it's just ramping up quarter-by-quarter, which was always the case. It's hard to sort of do a straight line ramp-up. Things come in kind of incrementally, but we're generally on the plan that we said we would be. For more detail, Ian, over to you.
Ian Kilgour: I think essentially the ramp-up is the key difference between quarters in the sense that we're gradually bringing on extra equipment, and we continue to do that in the second half. And the other aspect actually is that we concentrated our plant shutdown in the third quarter to take advantage of the good weather. So we've just completed 4 of our plant shutdowns for the scheduled annual plant shutdowns for the year.
Jorge Beristain - Deutsche Bank AG: So -- sorry, if I heard that correctly, you just had 4 or 5 plant shutdowns in the third quarter?
Ian Kilgour: That's right, and that's simply scheduled on an annual basis to take advantage of the best weather to be able to carry out the scheduled maintenance.
Jorge Beristain - Deutsche Bank AG: And from a cost point of view, could you talk to if any of your fuel is hedged at any price in the second half or, for example, the Canadian dollar, which has obviously been a source of appreciating costs?
Donald Lindsay: Ron, do you want to speak to the Canadian dollar?
Ronald Millos: We generally hedged a portion of our U.S. dollar sales to fix the -- effectively to match up to the Canadian dollar cost. So we do that on a quarterly basis, about $300 million. We don't do any fuel hedging.
Operator: The next question is from Garrett Nelson of BB&T Capital Markets.
Garrett Nelson - BB&T Capital Markets: As you highlighted, you have about $3.4 billion of cash right now, probably any debt maturities due until mid-decade, and based on anyone's projection, should be generating pretty significant free cash flow going forward. So I guess I was a little surprised to see you lower your 2011 coal and copper CapEx guidance slightly, unless the worse was on the expansion CapEx side. So I was hoping you could talk about how you're weighing some very attractive organic growth opportunities versus potential acquisitions right now. And do you see anything that might be of interest on the acquisition front?
Donald Lindsay: Okay, there's 2 or 3 parts to that question. I guess, first, we do have a large cash balance. We took advantage of what we thought was a good opportunity in the debt markets, general levels of interest rates at the 4 percentile over the last 20 years, knowing that at some stage, we would need that cash, either to call or redeem or buy back some of the other bonds that are outstanding with higher coupons or to fund the large CapEx program that we have. Admittedly, it doesn't start until next year sometime. It doesn't ramp up to significant numbers until into 2013, 2014. But we don't know how the world will unfold so we want to be sure that we had all the cash on hand. We do look at acquisition opportunities as you would expect us to. We haven't seen anything that is of interest at this point. We do a lot of analysis. But the industry went through a period of fairly significant consolidation from the '06 to '08 period. And also during that phase, we were acquiring the projects in good geopolitical jurisdictions that we want to develop. And right now, when we look at our, what I call the "state of core strategy", where we continue to do internal or organic growth as people call it, developing each of Quebrada Blanca and Relincho, we have Fort Hills coming along and with quite material growth in the Coal business. We know that at the end of 5 years, we'll have substantially more copper production per share, substantially more coal production per share. We'll have oil sands in production, and that looks like a pretty good base strategy. And acquisitions need to be measured against that. And so far, the acquisitions just haven't been appealing enough for us to make a move. It doesn't mean that we aren't looking, but the state of core strategy looks pretty good.
Garrett Nelson - BB&T Capital Markets: Okay. And then on the copper sales guidance, it looks like you're at about 150,000 tonnes through 6 months and maybe even built a little bit of inventory in the first half. What mines are the key volume drivers in the second half in order to get to your 330,000 to 340,000 guidance range?
Donald Lindsay: I'll turn that over to Roger Higgins.
Roger Higgins: On the 2 growth demand that we expect to see some improvement, and will see some improvement on them during the course of the year are Highland Valley, as we complete the [indiscernible] work that we've been talking about now for this part of a couple of years, and that is due for completion in August, and that will provide us better ore availability going forward. It will take through the fourth quarter to achieve the full benefits of that. And the other is in Andacollo as we are continuing to ramp up some of the measures that Don spoke about earlier on to get more throughput through the Andacollo plant.
Operator: The next question is from Harry Mateer of Barclays Capital.
Harry Mateer - Barclays Capital: Ron, a question for you. Just following up on the last question about the new debt. During the last couple of years, you guys consistently paid down debt, and you're generating free cash flow. So I mean, does the new debt offering, in addition to taking eventual low rates, does it reflect a view that you may have overshot on debt reduction a bit and this is a more optimal capital structure? Or is taking advantage of lower rates and paying down some high-coupon debt still a very real possibility, particularly before your CapEx picks up next year?
Ronald Millos: We'll monitor the debt on an opportunistic basis. But I think going out to the marketplace, the rates were low and the opportunity was there. We've got a major capital spend coming out. We will look at the economics of taking out the high-yield debt with cash on hand if the opportunity presents itself. So relatively happy with the capital structure. And with the cash we have on hand and the potential cash coming in at current commodity prices, we have a lot of flexibility on how we want to move forward.
Harry Mateer - Barclays Capital: Okay. Can you just refresh us on your leverage targets, either in terms of total debt you want on the balance sheet or debt-to-EBITDA or debt-to-cap metrics?
Ronald Millos: We want the metrics to be consistent or allow us to maintain our mid investment grade credit rating. Our internal target is 20% -- 25% to 30% debt-to-debt equity ratio. And we are comfortable with the mid-BBB rating. It gives us a bit of a cushion in the event of a general industry downgrade where we don't want to get drawn into below the investment grade. But basically, the key metric is that debt equity ratio of the 20% -- 25% to 30% and leverage of 2.5x.
Donald Lindsay: Debt to EBITDA.
Ronald Millos: Debt to EBITDA. Sorry, debt to EBITDA of 2.5x. Sorry.
Operator: The next question is from Oscar Cabrera of Bank of America Merrill Lynch.
Oscar Cabrera - BofA Merrill Lynch: A couple of questions, met coal first and then copper. So met coal, just curious on your estimates for the third quarter in the range of $280 to $290 a tonne. You said that the third quarter has settled at $315. In the last conference call, you said that there would be carryovers almost every quarter, and the carryover is at $330. So can you provide color on the mix of coal sales that you expect to get that lower met coal price realized for the third quarter?
Donald Lindsay: Hand over to -- probably a combination of Ian and Greg, whoever wants to go first.
Ian Kilgour: Well, our premium hard coking coal is basically priced at $315 a tonne, and that's a hard proportion of that production. But of course we also have weak coking coal and PCI coal, which are priced at levels below that. So essentially, we have that mix, and we also have the carryover from the second quarter. We expect to complete all the sales that we had -- that we'd carry over from Q2 in Q3. And basically, that mix gives us the proportion that we're estimating at this point.
Gregory Waller: And Ian, if I could just add one point there. Oscar, you may recall that in Q1, we indicated that there would be some carryover tonnage from Q1, the bulk of which would be sold in Q2 and was. But there would still be some of that coal, and of course that was priced back on a basis of benchmark price of $225 a tonne, that would -- some of that would be carried into Q3 as well.
Oscar Cabrera - BofA Merrill Lynch: And then on your copper projects, this is more a question on your priorities in how you state your projects and the returns that you're looking for. Based on the release from the pre-feasibility in Galore Creek, copper prices or long-term copper price, was about $2.65 a pound. The project economics internal rate of return is about 7%. So just wondering -- so a 2-part question. One, how are you thinking about in terms of staging new development CapEx for your copper and oil sands? And then secondly, what sort of hurdle rates are you looking for to get -- to maximize free cash?
Donald Lindsay: Okay. So this is an excellent question. I just want to take some time on it because it's probably the key question that the whole industry is facing right now. My first thought would be that every analysis that you do is based on a number of significant assumptions. And the first one, of course, is commodity price. And while the model you're referring to in Galore Creek, NovaGold chose $2.65 copper. We've been using lower copper prices in that as our base case. But we do note that various other bank analysts have come out with higher long-term copper prices, more recently, some at $3. It's a very tough call. We don't know what the long-term price is going to be. So we do sensitivity analysis and run several models at different copper prices. And it's interesting that in this day and age, where there is significant pressure on capital costs, as you raise the capital costs for some of these projects -- and we've seen a number of companies come out in the last week increasing capital costs for major projects by $1 billion or more. As you raise that capital cost, it really makes a big difference to your IRR result or your NPV. And then the commodity prices helped us. So right now, as you analyze these large $4 billion and $5 billion projects, the result you get in your NPV and your IRR is all over the map. So in the end, you have to make a judgment as to whether the world is going to need that particular project. So in those cases, you'll look and say, "Well, first of all, what is the quality of the resource? What is the grade? What is the mine life? Is it going to be around for several cycles? Will you have 5 or 6 cycles longer than the payback period of the project itself? Is it in a geopolitically safe jurisdiction where you know that if you invest your capital, you can get your capital out and get your return? Can you keep your workers safe? Can you meet the local sustainability requirements? And will the communities benefit?" All of these kind of qualitative decisions become very, very important, and it's a judgment call. I think that the doability of building a project, actually, construction challenges that a project has. What elevation is it at? What is the terrain like? What other sort of engineering challenges there might be? Those become very critical when making the final decision. Our board spends an awful lot of time on these issues. And I think probably the mining industry generally is doing that and particularly, the larger companies that have a portfolio of projects. We're very lucky that we have several choices of products to develop in copper. A lot of companies don't. And so then they run into the same issue, which is one project, and then they have to make assumptions that are sometimes aggressive, just to show a decent return. I think it's reflective of the whole copper industry that the tightness in the market is pushing us to look at projects that have more and more challenges associated with them. And when the calculation is done, it shows numbers that are 7%, as you point out, or sometimes not even that high. But in the end, the world is short of copper, and a lot of these projects should be built because the world's going to use it. So those are some thoughts on how we do the analysis, but it's never a pure science. At the end, it's going to come down to a judgment call.
Operator: The next question is from Greg Barnes of TD Securities.
Greg Barnes - TD Newcrest Capital Inc.: I just like to follow up on that, too, in respect of the CapEx inflation that we have seen and just deep into the studies on Relincho and QB 2. At the Investor Day last year, we talked about capital intensities of $25,000 to $30,000 per tonne of daily mill throughput. That seems to be going up. I'm just wondering where that number sits now relative to where it was 9 months ago?
Donald Lindsay: We don't have an answer to that question yet. It is an excellent question. But I think it's safe to assume that it's going to be higher and probably significant. So we are seeing significant pressures on capital costs. And as I mentioned earlier, a number of announcements from other companies have confirmed that. We're seeing the same thing, but we haven't finished the numbers. And when we do, we'll announce them. But Greg, while I've got you, I just wanted to compliment you on the last quarterly call when you made the suggestion on hedging silver when it was over $50. I have to say that was a very good call. I think 2 days later, the collapse occurred. So I hope you did some yourself.
Greg Barnes - TD Newcrest Capital Inc.: No, better lucky than smart, I guess. I do have a second question on the transition at QB to the dump leach. QB, as you have talked, you produce around 85,000 tonnes of copper a year. I'm wondering how that profile changes as we move into this transition and how costs are going to evolve as well.
Donald Lindsay: Roger Higgins, over to you.
Roger Higgins: QB is approaching now the final years of its leaching operations. And during this period, heap grades will be declining. All this, it is for -- overburden are increasing, and we are putting an increasing proportion of material to the out-of-mine dump as opposed to the heap. So these factors put pressure on unit cost of production. We don't see a great falloff in total production tonnes, although we are also of course adjusting to maintain the leaching plant in place as long as possible, given the approaching pit for the future hypogene project. So the plant was originally designed for 75,000 tonnes per year of copper, and we should remember that as we recall that we did have a few good years where we're able to put more than that through. The declining solution grades from QB, though, will mean it will be pushed back further towards that original design capacity, and that the costs will be subject to the lower grades and longer, particularly longer coke businesses.
Greg Barnes - TD Newcrest Capital Inc.: If I calculate the numbers right, cash cost in Q2 was around $2, $2.07. Is that something we should be looking at pushing forward on?
Roger Higgins: That would be about the right number for this last quarter, but it was an unusual quarter because of the disruptions we had due to weather and still reacting to the wall stability. So that's a fairly high number.
Operator: The next question is from David Beard of Iberia Capital Partners.
David Beard - Iberia Capital Partners: Wanted to just touch base on the coking coal side relative to your ASP guidance. I seem to recall last quarter, you guided $280 to $290. You came in lower and cited Japanese shipments getting pushed out. But this quarter, you're still guiding $280, $290. And I would have thought with new tonnes being sold or the Japanese shipments coming in this quarter that, that would be a higher number or last quarter's guidance was too aggressive. Maybe just help me understand why seemingly with either high-priced Japanese shipments or high-priced coal being sold, the guidance was flat sequentially, $280 to $290 stays $280 to $290.
Donald Lindsay: Okay, Ian and Greg again.
Ian Kilgour: Essentially, it's a combination of the fact, as we talked about previously, that there is increased carryover of higher-priced coal from the second quarter, a positive factor on the one hand. But the headline price is down $15 from $330 to $315. So those 2 factors basically counteract each other, and the result is a similar forecast.
Gregory Waller: Ian, if I could just maybe add a clarification. David, I think it's important to note that when we talk about our benchmark price of $315 a tonne, we and our competitors are talking about the price that our premium product sells at. And of course not everything we sell that's hard coking coal is that premium product. It's a percentage of our product. We then have other products, other blends, that sell at some reductions of that. They're still considered hard coking coal, but they don't sell like quite as high a price. And of course 90% of our business is hard coking coal. But conversely, that means of course the 10% of our business is not hard coking coal. It's semisoft, it's PCI, it's thermal, that sells of course at much lower prices. And when you factor those in, that of course brings down the overall average realized price by some of the -- some percentage change is going to vary from quarter-to-quarter depending on, as Ian referred to as well, the carryover amounts. And we do have some carryovers still from Q1, which was at $225 a quarter.
Donald Lindsay: The other point to make is that the spread between the price for the highest-quality coal and then that for weaker coal is getting wider. And that is something that we think could occur for quite some time, and one of the reasons why we like our coal and don't participate in a number of these other transactions where there's much weaker coal involved. Because the long-term outlook for those coal is not as positive as it is for the high-quality hard coking coal, which is quite scarce. And so I think you have to factor those items in as well.
David Beard - Iberia Capital Partners: Right. Right now that's helpful. And just maybe to address the stripping ratios because it's come up in the first quarter and again in the second quarter, and I usually don't worry until 3 quarters is a trend. And can you give me some more detail of why we may see strip ratios return to a more normal environment?
Donald Lindsay: Ian, over to you.
Ian Kilgour: Yes, the reason we'll see a decrease from our highs of the last couple of quarters is that we are moving to a high level of production. And when you're moving to a higher level of coal production, you're also moving to a higher level of waste production. And normally, the production of waste precedes the increase in coal production so that you get a little bit of a jump in strip ratio before you return to the steady state again. So that's basically what we're seeing. We're in the middle of that bump at the moment. And then as our coal exposure and production increases over the next 2 quarters, we'll see a return to a slightly lower strip ratio.
David Beard - Iberia Capital Partners: Okay. That's helpful. And just the last question relative to share repurchases. What were your level of share repurchases in the quarter? And how well maybe we see going forward relative to your authorization?
Donald Lindsay: Sorry, could you repeat the question on share repurchases?
David Beard - Iberia Capital Partners: Just did you repurchase any shares in the quarter? And can you give us any sense of what share repurchases may look like going forward?
Donald Lindsay: Okay. We did not purchase any shares in the quarter. And going forward, we monitor it, well, daily basically, looking at the opportunities. And so we don't know what we'll be able to achieve in the coming quarters. But we at least have the regulatory filing in place so that we can do so when we think it's the right time.
Operator: [Operator Instructions] The next question is from Alec Kodatsky of CIBC.
Alec Kodatsky - CIBC World Markets Inc.: I just had a couple of questions around Slide 10, and I'll probably just break them up in a 3-part so you can hand them off. But just in observing the strip ratio going forward, it's much less volatile than it's been in the past. I'm just curious, is that reflective of a shift in operations or shift in planning with respect to the coal operations? Or where is your level of comfort that, that's going to stabilize relative to history? And then secondly, you have expressed in the past sort of a need or a feeling that you needed to catch up on stripping. And just curious on your thoughts as to where you sit now as far as your level of comfort on sort of catching up with past stripping? And then thirdly, just in looking at the material move column, it's obviously ramping up here through the end of 2011. But as you get into 2012, the total material mine number stays pretty static. And I'm just curious, with equipment coming on in 2012 and over the course of, I guess, trucks arriving through the course of 2012, is that new equipment largely replacing the contractors that you have on site and therefore we should start to see some cost improvement? So just sort of trying to reconcile how new equipment doesn't translate into more tonnes moved.
Donald Lindsay: Okay. I'll make a quick comment first and then turn it over to Ian for the second half or second 2/3 of that question. On the volatility in the strip ratio I'm showing on Slide 10, you see a big bump in Q1 and Q2 of '09. And basically, what occurred there, that was during the severe downturn, we had some large European customers who reneged on contracts. And so they weren't sending ships, and so we didn't mine the coal but used the capacity to mine more waste, to free up coal for later. And that was just a deliberate decision at that time during these 2 quarters. So in the normal course, you wouldn't have seen that degree of volatility. So when you're looking at Slide 10, yes, from Q1 '08 to Q4 '10, it looks pretty volatile. But it was a pretty unusual situation, and normally that would have been a little flatter. So with that, over to you, Ian.
Ian Kilgour: The trend in stripping ratio normally is reasonably steady because it's a blend of the product of our 6 mines. So trends go up and down in the different mines. But overall, when we add them all together, they are normally fairly steady and the changes are slow. So as Don mentioned, that was an unusual period in '08, '09. And so we're returning, I guess you would say, to a more normal sort of profile. In terms of where we are in stripping, we have, as you mentioned, used contractors at a number of our mines to help us get in a strong position with regards to coal uncovery. And that does, in fact, decrease over the next year, and that is one of the factors in us increasing our own truck capacity and -- so that we will be moving more material to increase our coal production in 2012 and essentially doing that principally with our own equipment.
Operator: The next question is from Brian MacArthur of UBS Securities.
Brian MacArthur - UBS Investment Bank: I just want to follow up on that slide a little bit more, too, that which is very helpful. When you get out to Q4 2012, does that assume you have now got to a maximum production at the Elk Valley mine valued at 26.5 million, 27 million tonnes, whatever you think? Or to get that, will the strip ratio have to go up even higher as you ramp up?
Donald Lindsay: Ian.
Ian Kilgour: No, the strip ratio doesn't go significantly higher in the next few years. We will be, at that point, pretty much have the capacity in place to ramp up to our overall goal.
Brian MacArthur - UBS Investment Bank: And just a second follow-up, when you get to that full Elk Valley production, as Don mentioned, the spreads are getting wider between the high-quality hard coking coal and the secondary coals. You talk now 90% hard coking coal and 10% other. What's the ratio, when we get up to that maximum volume, when everything's at full capacity at least Elkford [ph], Coal Mountain and everything else? Is it 85%-15% then or does it still stay at 90%-10%?
Ian Kilgour: The ratio stays pretty much as it is now because we're focusing our expansion on our premium coal-producing mines. That is Fording River, Elkview and Greenhills.
Operator: The next question is from David Lipner of CLSA.
David Lipner - Credit Agricole Securities (USA) Inc.: You said that you sell some hard coking coal at the benchmark and some hard coking coal that sold slightly below the benchmark. Is there any deterioration in that spread?
Ian Kilgour: We don't see significant change in that spread occurring at the moment. We see the demand for our product is still strong, and so that the outlook is still positive. And so we don't see any major changes in the structure of the pricing.
Operator: We have no further questions registered at this time. I would now like to turn the meeting back over to Mr. Lindsay. Please go ahead.
Donald Lindsay: Okay. Well, thank you very much. I might just add one little bit of color to that last question, that Ian's absolutely right. There's been no change in the structure. But when prices are higher, prices are $300 and over, the difference between one high-quality hard coking coal and the other, if at lower prices, there was $1 or $2 difference, then you might get $3 or $4 difference. But percentage-wise, it's pretty much the same. I think that's important because we get a lot of questions on this average price we realize for the quarter versus the benchmark. And so the more understanding people can have of how that works, the better. So it's a good question. In any event, since there are no more questions, we thank you all for attending today and look forward to reporting in October on the third quarter, which we believe will continue to be stronger as we ramp up our production and coal and copper. Thanks very much, all.
Operator: The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.